Operator: Good afternoon, ladies and gentlemen, and welcome to the presentation of the BNP Paribas 2022 Full Year Results. For your information, this conference call is being recorded. Supporting slides are available on BNP Paribas IR website invest.bnpparibas.com. [Operator Instructions] I would now like to hand the conference over to Jean-Laurent Bonnafé, Group Chief Executive Officer. Please go ahead sir.
Jean-Laurent Bonnafé: Thank you. So, good afternoon, ladies and gentlemen. I trust you are well and welcome you to the presentation of full year 2022 results, and update of the Group's 2025 targets. As usual at the end of the presentation, we'll be pleased to take some questions. So jumping to our key messages on Slide 3, you can see that 2022 marked again a year of strong growth in business activity and earnings for BNP Paribas. Our 2022 results confirm the key ingredients of a successful execution of our strategic plan and Growth, Technology & Sustainability 2025 and the relevance of our business model. Indeed, the Group's solid model and its ability to support customers and the economy globally continued to deliver a very healthy growth in net income of 7.5% compared to 2021 and 19%, excluding exceptional items at €10.2 billion. The Group delivered a strong revenue growth of 9% year-on-year, stemming from all three divisions with a significant increase by CIB, up 15.7%, a strong growth at CPBS, up 9.3% and the rise in Investment and Protection services up 3%. Our growth is disciplined. We delivered a positive jaws effect of 0.7 point, 1.5 point excluding the contribution to the Single Resolution Fund. If costs increased up to 8.3% at historical scope and exchange rates, 55% of this increase is due to exchange rates and scope effects, as well as the impact of the Single Resolution Fund increase and specific adaptation needs, Bank of the West in particular. So a strong confirmation of our ability to grow organically at marginal costs. The Group continues to benefit from its long-term prudent and proactive risk management. Hence cost of risk was low at 31 basis points of loans outstanding. Group core Tier 1 ratio increased by 20 bps, thanks to organic growth and clocked in at 12.3% as of December 2022 and will go up to 14%, now that the sale of Bank of the West is closed. On the back of our solid results and as per our commitment of a return to shareholders of 60%, we will return €5.8 billion in ordinary distribution. This ordinary distribution is split between a cash dividend of €4.8 billion or €3.90 per share, equivalent to a 50% payout and the share buyback program of €962 million, equivalent to a 10% payout. In addition, and as we closed the sale of Bank of the West a few days ago, we confirm €4 billion additional share buyback program to compensate for the dilution related to the sale of Bank of the West. Hence, an overall share buyback program of €5 billion globally for 2023 to be executed in two equivalent tranches, given its size and time needed to execute buybacks of this magnitude. The first tranche of €2.5 billion has already been submitted to the ECB for approval. The second one will follow with a view to be fully executed before year-end. So in a nutshell, very solid results and a good start to our '25 strategic plan. Going to Slide 4, '22 has been marked by the sale of Bank of the West and I would like first to warmly thank Bank of the West and BNP Paribas teams who have been working closely with BMO these last months in order to prepare the closing of the transaction and the transition to BMO. This closing on February 1st, '23 opens a new page in our history. Let me remind you some figures which illustrate the value created with this transaction. First a fixed price transaction for total consideration of $16.3 billion, representing 1.72 times the tangible book value. The transaction which results in a net capital gain of around €3 billion to be accounted for in the first quarter '23 and the release of common equity Tier 1 capital of roughly €11.6 billion or an equivalent of 170 bps in core Tier 1 ratio. As indicated, on one side we will compensate the EPS dilution with a share buyback of €4 billion. On the other side, the remaining €7.6 billion or equivalent of 110 bps in core Tier 1 will be invested over time in a disciplined way with the aim of accelerating long-term shareholder value creation through BNP Paribas diversify that integrated model. We benefit from a unique positioning with strong and leading platforms and client franchises and shown track record of increasing market shares in key European businesses. So our priority will be to boost on organic growth. This is what we do best with limited execution risk and immediate return on equity. Then we intend to do some targeted investments in technologies and innovative and sustainable business models. Finally potential bolt-on acquisition in priority sectors. Should redeployment of the proceeds put BNP Paribas in a unique position to accelerate and step up long-term growth. Now on Slide 5, you can see that it provides the first lever allowing the Group to accelerate its growth with approximately €3 billion additional revenues by '25. The redeployment will be disciplined on the basis of a cost income ratio of 60% and a return on tangible equity of 12%. Moreover, the second lever will be the positive impact of higher rates. We expect to see a €2 billion plus positive impact on NII across the Group by '25, stemming from interest rate hikes, having taken place in '22. In particular, CPBS will benefit from it to the tune of 80% and we expect to see around 40% of it in '23, mainly in Commercial and Personal Banking in the Eurozone. On the strengths of our '22 results and with an additional growth potential of €5 billion, BNP Paribas reaffirms and confirms the importance and relevance of the strategic pillars of it's Growth, Technology & Sustainability '25 Plan and revises upwards its ambitions, we are thus significantly revising upward our initial target for compound average annual growth in net income of more than 7% to a target of more than 9% between '22 and '25. We're also anticipating a stronger and steady compound average annual growth in EPS of more than 12% or a 40% increase over the '22-'25 period as it will be boosted by the execution of share buybacks each year and particularly in '23. Of course, the growth will remain disciplined with positive jaws effect each year and averaging 2 points. \ On this backdrop, switching to Slide 6, you will see that '23 is a pivotal year. As such, we have decided to adjust upward the '23 distributable result to reflect our new trajectory, resulting on one side from the sale of Bank of the West and on the other side from the end of the ramp up of the Single Resolution Fund. As a matter of fact, looking forward, first, we anticipate our organic growth in '23 to offset more than the perimeter effect related to the sale of Bank of the West. Second, our unique positioning permits us to do as if the ramping up of the Single Resolution Fund was behind us and not impacting '23. And to do that we have decided to adjust the distributable income upwards by €1 billion in '23. Furthermore, the Group has also decided to exclude from the distributable results, the negative impacts of the adjustments in hedging positions, which will occur during the first half '23 as a consequence of the ECB decision in the fourth quarter '22. And as you are already aware the capital gain linked to the sale of Bank of the West will be also excluded. So basically all this should mechanically enable us to deliver a '23 adjusted result increasing in line with the Group net income target of an average growth of more than 9%. On top of that, it showed result in a growth in EPS in '23, higher than the objective of a CAGR of more than 12% that will be boosted by the €5 billion share buyback executed in '23. Last but not least, as this '23 adjusted distributable income will serve as a base for the 60% return to shareholders, it should result in a growth in EPS to the same tune. Moving now to Slide 7. As a wrap up and to take away for this first part of our presentation, you can see that not only we anticipate delivering an average strong growth in net income by '25 on the back of our annual growth, an additional potential, but that in addition, our unique positioning in '23 allows to deliver a steady growth year after year with an even higher growth in EPS boosted by the execution of our share buybacks each year. I would like now to hand over to Lars, who will take you through the Group and Divisional results. Lars?
Lars Machenil: Thank you, Jean. Finally, ladies and gentlemen, I will now take you through the record '22 results, which form the base for our updated '25 objective. An objective that you have seen with the distributable income growing by at least 9% every year, even in the pivotal year '23. So let's now look at Slide 9 and let's turn to '22 and actually let's turn to '21, where you can see in '21 that the capital gains largely compensated exceptional cost. And for 2023, so this year and actually over the whole GTS 2025 plan, we also anticipate each year capital gains to compensate these exceptional costs for around €400 million for restructuring adaptation and IT reinforcement. However, in 2022 as a consequence of the very specific circumstances in Central Europe, this compensation was not the case, enhanced exceptional items were atypically negative overall. And this is then - I'm not mentioning the increase in taxes that you also see on this slide to the so-called IFRIC 21, which was entirely booked in the corporate center, which was up €300 million on the back of the final year of the Single Resolution Fund. I remind you in 2023, so this year being the last year as the fund will be ramped up. And so if we, with this, we turn to Slide 10, which illustrates the strong performance of the Group as detailed by Jean-Laurent from the revenues, all the way down to the bottom line with a healthy return on tangible equity at 10.2%. If with this, I can ask you to turn to Slide 11 with the revenues of the operating divisions. They grew by a solid 10.4% year-on-year, 7.8% on a like-for-like basis. If we look at our divisions, CIB revenues grew sharply by 15.7%, thanks to our diversified and integrated model, ensuring to capture the buoyant client activity in - in particular in '22 at global markets and security services and also at global banking with a strong rebound towards the end of the year '22. A level of activity, which has strengthened by the complete coverage of clients needs, leading to the gains in market share. If we take the second division, a strong momentum was also seen at CPBS, up 9.3%, driven by the strong performance of Commercial and Personal Banking activity with the improvement of net interest income and fees on the back of a favorable positioning in corporates and private banking, but also in cash management and trade finance. Moreover, an increase was also seen in our specialized businesses and Arval in particular, so they are the car fleet leasing business, sustained by the growth in a fleet of more than 8% in the year ''22. Last and third, activity was very good at IPS with strong asset inflows and better resilience versus peers and assets under management, illustrating our commercial outperformance versus peers over time. Hence IPS delivered an increase in revenues at 3% on the back of a strong rise in private banking businesses despite a lackluster market environment which weighed on asset management and also insurance revenues. If I can now ask you to flick to Slide 12, we look again at the operating divisions the same ones, but now at the costs. Costs were up 8% generating strong positive jaws of 2.4 points for those operating divisions and this is for the full year. And if you would look at the fourth quarter, also delivering 1.9 points of jaws. So we - you can see that we continue not only to benefit from our industrialize and materialized platforms, but also from additional initiatives generating this year more than €500 million in cost savings. CPBS delivered very positive jaws of 3.3 points, thanks to the ongoing rationalization of our operating model. For CIB as well, jaws were positive at 2.1 points as basically what else can I say a tribute to the high operational efficiency of our leading platforms. And then at IPS, costs were up 3.5% supporting the business with a close to nil in jaws effect on a like-for-like basis, despite the impact of an unfavorable market environment. So we have looked at the topline, we've looked at the costs, let's now look at the cost of risk. So if you could turn to Slide 13, and there you can see the confirmation of a low cost of risk at Group level at 31 basis points over outstanding, well in line with our guidance of a cost of risk every year below 40 basis points. And this as a result, not of luck, but of our prudent risk profile as it can be or as it is illustrated by the lowest level of cost of risk over gross operating income, so revenues minus cost and this through the cycle compared to Eurozone peers and continuously improved risk profile. And if you look at the stages 1 and 2 in the cost of risk of around €6 billion and they basically cover 2.4 - that stock is basically covering 2.4 times, the stage 3 provisions of this year. So in '22, the cost of risk is due in particular to the combination of one, low impairment of non-performing loans, the so-called stage 3 provisions and also an excellent prudent provisioning of so-called stage 1 and 2 on performing loans. And this for €463 million simulating the side effects of - side effects and simulating I cannot stress it enough, of the invasion of Ukraine and higher inflation and rates, partially offset by released of provisions that we took that were linked to the COVID crisis a year and a half ago. And this also with some releases in provisions that we had to align us to the European standards and which in turn are less conservative than ours. So with this, if we now move on from the businesses that we have seen, you will basically see and I skipped those next two pages, but you see the evolution of the cost of risk for our divisions and basically it is always a variation on the team of low cost of risks. So allow me to take you through the financial structure on Slide 16. You can see first of all that the common equity Tier 1 ratio in the last quarter improved by 20 basis points and so clocking in at 12.3%. As in the past, if you look over the full year of the '22 there has been an organic contribution to the common equity Tier 1 of 30 basis points. Moreover, as you've seen and the beginning of the year, there has been a reduction of 40 basis points, again over the year through the OCIs that are basically impacted by the market environment. And also, as we told you at the beginning of the year, there was an update to models and regulations that had an impact of 30 basis points. So if we now look forward and basically you see that the benefit related to the sale of Bank of the West, which represents as Jean-Laurent said in basis points, 170 basis points, which kicked in on February 1 and so that basically takes us to 14% common equity Tier 1 ratio. Going forward we should continue to grow organically our CET1 ratio by approximately, let's say, somewhere around 50 basis points over 2023 and 2024 and we anticipate as well the ratio to be impacted. Well, as one thing, you know we're going to do a buyback of €5 billion. So, over and above the return in dividend in cash and share buyback of the results, there is also the return related to Bank of the West. So in total, a share buyback of €5 billion. The first 2.5 done before the summer will reduce the common equity by 20 basis points and at the second tranche that we will do around the summer will basically reduced by 40 basis points. And then there is also the implementation of IFRS17 in insurance that were lower and a one-off, the common equity Tier 1 by 10 basis points. So this is a bit the view on common equity Tier 1. So you see we are very well capitalized. And if you also look at the leverage ratio, it clocked in at 4.4% at the end of the year, well above the requirement. And also this ratio will be further boosted by the sale of Bank of the West by 40 basis points. And as Jean-Laurent said, if you see this, there is a remaining excess of capital that will be redeployed very frugally and mainly by accelerating organic growth. So if I can top that off on Slide 17 that with no surprise, you'll see our net tangible book value per share continue to grow, clocks in at €79.3. The rest of the slide is basically crystallizing the level of our return to shareholders, we have signed into different elements for '23. So this is then basically the Group. I now want to hand it back to Jean-Laurent for the other two pillars in GTS Technology & Sustainability.
Jean-Laurent Bonnafé: Thank you, Lars. So this group presentation would not be complete without mentioning what has been achieved in terms of operational efficiency, technology and company engagement. So please turn to Slides 18 to 21. You know that optimization and cost discipline are the heart of the 25 plan. First, we have leverage, while leveraging on our internal platforms, enhancing shared centers to better allocate resources and to further outsource and neutralize technical offers with external partners with an objective of a 20% increase in resources in demand shared services centers. Second, we integrate new work usages and methods to optimize premises costs, lowering our mutualization ratio down to 0.75 to flex offices and through inner-city locations. Last, while ensuring a strong discipline on investments with the proactive management of external spending. All these levers are proven to be quite effective, bringing more operational efficiencies. As a result, we have revised our initial recurring savings over the duration of the plan by plus €300 million, up to €2.3 billion over the plan. It will sustain our ability to deliver positive jaws in addition to end of the ramp-up of the SRF representing a decrease of €1 billion in operating expenses between '23 and '24. Investing in technology to support operational performance innovation and growth is a top priority at all GTS plan. Our global IT strategy is built on four major pillars aiming at creating value. First the safer and more resilient IT with the cloud with the objective to embark more than 60% of our apps by '25, we're actually halfway. Second, an open information system to create value through sharing IT assets and simplified consumption. Launched in December '21, it has proven its effectiveness, should a widespread adaptation of APIsation, bringing interoperability and rationalization of our information systems. We've already largely exceeded our '25 objectives, with more than 660 apps available assisting more than 620 million transactions per month. Last but not least, we intensively deployed AI with already 670 concrete and value creative use cases rollout in 2022, plus 57% more than last year on the back of strong data science in-house capabilities. Contributing to a responsible and sustainable economy is a major foundation of our strategic plan as described in Slides 20 and 21. Engaging with our clients to support that transition, we have set ourselves three key sustainable targets for '25. First €150 billion of sustainable loans; second, €200 billion of sustainable bonds; third, €300 billion of a sustainable investments and in addition we commit to target of €200 billion of - to support our clients to transition to a low carbon economy. Our action are concrete and illustrated by significant achievements and the figures we provide. While worldwide leader in green bonds with $19.5 billion raised for our clients. We've have also been recognized the European leader in combating climate change and protecting biodiversity. We're strongly committed to a net zero trajectory and take concrete steps. As recently announced, the Group is now embarking on a new phase of acceleration in financing the energy transition. The Group has already pivoted with outstanding to low carbon energy production, 20% higher than those to fossil fuels. And we are accelerating in financing the production of low carbon energies with a target of €40 billion in financing outstandings by 2030, primarily renewables. We are also accelerating in reducing financing to fossil fuels with a commitment to reduce financings for oil extraction and production by €1 billion in 2030. So decreasing by 80% in comparison with the current level of €5 billion. By 2030, we will have completed the transitioning of our financial - financing activities to the production of low carbon energy by more than 80% in less than 15 years. And I now would like to hand over to Lars who will take you through the divisional results. Lars?
Lars Machenil: Thank you, Jean. All right, ladies, gentlemen, let's now look at the operating divisions. Let's start with CIB, basically I'll let you through Slide 24 to 27, and let me give you the main takeaways. So CIB had very good results in '22, supported by strong client activity, leveraging on a diversified integrated model and confirming its leadership positions in EMEA in particularly in financing and bonds, in transaction banking, but also on multi-dealer electronic platforms. On the back of these strong platform, CIB today benefits from a top 3 position in EMEA and confirmed its strong and resilient growth year after year. First, if we look at the divisions within CIB, first, very good performance in global banking with a strong rebound in the fourth quarter, despite an unfavorable context and decreasing primary markets. If we take global banking revenues, they were up 2.6% year-on-year. Secondly, as reported by a very robust client activity and a reinforced setup with strong positions in FICC and equity business, global markets saw a very strong increase in revenues. Very strong in the sense up 27% year-on-year with a very good performance of FICC, up 32%, and a strong increase in revenues, up 19% in equity and prime services. Finally, the performance of Security Services. So the third part within our CIB illustrated the relevance of a diversified model, benefiting from high transaction volumes and major new mandates, but also from positive impacts of the interest rates environment. Revenues went up 11%, a solid performance. So as a result, a remarkable increase in CIB revenues up by 15.7%, with the crystallization of market share gains and the confirmation of a change in scale in the European landscape. That's the top line. If you look at costs, they accompanied the growth and they were up 13.6% or up 8% on a like-for-like basis with positive jaws of 2.1 points. All in all, and considering the low cost of risk, CIB generated a pre-tax income of €5.4 billion in '22, a very good level of results, up 16% year-on-year. So what's next for CIB? I'll let you peruse what makes our CIB strategy so successful on a recurring and a long-term basis. This is what you can see in Slides 28 to 30. A strong differentiator versus competition as the model of CIB platforms flow-driven, client-centric and integrated approach, ensuring a solid performance throughout the cycle with regular gains in market shares. Why? Because we are uniquely positioned to address the needs of our corporate and institutional clients in all environments and in particularly when they need to be accompanied in their development or transformation. How? Well first, thanks to our broad product offering and our long-term relationship approach. Our complete coverage combined with transforming initiatives means that we are always relevant to our clients. Second, our strong client franchise being further enhanced by the proximity derived from our leadership in flow businesses. Third, thanks to the capabilities of our origination and distribution platforms. If you can flip to Slide 29, you can see that '22 - the year '22 is a tribute to our ability to go one-step further by one, improving our operating model for example in security services; two, further strengthening our equity franchise with its comprehensive global and integrated offering; and third accelerating in the financing of the transaction - transition of our clients. Thanks to these initiatives, CIB financial targets have been revised upwards for 2025 with a revenue CAGR above 5%, relatively well balanced between global banking, global markets and security services. Average jaws effect is targeted at 2 points over the period. So what else can I say, in a nutshell, consolidating on '22 strong performance and keeping on its strong discipline, CIB is embarking on a growth at above market with continued market share gains, expansion in volumes and franchises, thanks to favorable product and client positioning and a very good business drive. So that's wrapping up CIB. If we now go to the second division, Commercial, Personal Banking and Services. So this is Slide 31 to 39. So I'll refer to this as CPBS, the short end. And as you can see, CPBS continues on a robust trajectory with a sustained business drive. When looking at activities, loans were up 7% due to a positive pickup in demand across all businesses. Depositors increased similarly by 6.6% across all customer segments on the back of its favorable positioning. If we look at private banking, net asset inflows continued to grow solidly up €10.7 billion. Here again, you can see our model at work supporting the shift into products addressing the savings needs, hence, triggering a further shift into fee business and attracting strong inflows through external client acquisitions and synergies with entrepreneurs. Moreover, the division continue to partner with fintechs to better service clients. For instance in enlarging its offering with an automated foreign exchange risk management platform for corporates, a cash flow forecasting solution for treasurers and the development of quote-unquote beyond banking services. Having said that, how does it translate into the P&L? Well, results for the year going up sharply with variety of positive jobs, what else can I say. So let's look at the revenues. They clocked in €28 billion, up 9.3% driven by the strong performance for Commercial and Personal Banking and steep growth from the other part, called Specialized businesses. First, let's look at Commercial and Personal Banking, revenues were up 8%, thanks to the favorable interest rate environment with net interest income, up 9.7%. With a good momentum on deposits collection on the back of a strong client franchise with corporates, private and mass affluent clients, Eurozone networks performed particularly well. If we look at France, net interest income increased by 4.9% with a low relative exposure to regulated savings, while in Belgium, it increased by 8.9% and in Luxembourg by 20.4%. At BNL, the positive impact of interest rates on deposit margins remain somewhat offset by the progressive repricing on loans. So that's interest income. If you look at fees, we continue to get the full benefit from our leading positions on flow businesses and our favorable client mix, despite the negative impact of financial markets, fees increased share of 5% with a steep rise in France, up 8.5% supported by buoyant activity on cash management and trade finance. So that's the Commercial and Personal Banking side of CPBS. Second, let's look at Specialized businesses. Revenues, they were up 12% and this on the back of the continued expansion of the finance fleet, up 8% as well as the benefit of a high used car price combined with new partnerships. And that basically means that Arval and Leasing Solution saw a sharp increase in revenues, up 28%. If we look at personal finance, revenues were up 3% on the back of volume growth, while strong pressure on margins are weighing on the performance. The business is transforming its activities to foster its growth and profitability. So if we synthesize back at CPBS, these are the revenues. If we look at the costs, they were up - accompanying this growth, they were up 6% or if you look on a like-for-like basis at 4% and reflecting the gains in efficiency across networks with a very positive jaws effect of 3.3 points. These are the banks. Similarly the Specialized businesses confirmed their capacity to grow at marginal cost with what else can I say, huge positive jaws effect at 21 points for Arval and Leasing Solutions. Given the significant reduction in cost of risk, pre-tax income increased to a suite rounded number of €8 billion, up 24%. To sum up, what else can I say that CPBS has seen a strong year with a very good momentum across all its businesses, thanks to its favorable client mix and supportive interest rate environment. On top the transformation and digitalization of its model is leading to a sustainable rise in income for '22, paving the way for an outpaced performance. If we now turn to Slide 40 and let's look at the two main levers of development for CPBS, which have been confirmed in the year '22. So first, our leadership positions on the corporate and private banking segments. This is key in light of CPBS client mix as I mentioned before. As you're already aware, 60% of the gross operating income of CPBS is generated on corporate and 20% on private banking clients. So the total corporate private is 80%. This positioning allows for an enhanced cooperation with the rest of the Group, hence the material 16% growth in cross-sell on corporate client revenues. In addition, our number one position on flow businesses in the Eurozone is reported by a broad transaction banking offer and increased capabilities and payments. Acquisition transactions are up 16%. So that was the first part. The second part, our retail activities, which benefited from a favorable positioning with more than 20% of mass affluent clients and if we look at retail 20% of mass affluent. And they are adapting their operating model, accelerating the digital and technological transformation and their service model, while enhancing the operational efficiency, leading to a better quality of service and variabilization of cost. So these are then basically the networks. And if you look at Europe Mediterranean, after the exit of our activities in sub-Saharan countries, we will focus on Europe and its periphery and will strengthen our position on corporates, private banking and mass affluent clients in line with our global strategy and that I just commented on in Commercial and Personal Banking. With this we switch to the Specialized businesses. Arval, Nickel, Floa, Personal Investors see their development strategy confirmed with ambitious growth targets and this at marginal cost. All these businesses, built solid platforms in growing markets and grew significantly faster than competition. Meaning, for 2025 an impressive set of targets if I can say so. More than 2 million vehicles for Arval, more that 6 million of accounts opened for Nickel and twice as much for Floa. So transformation will be needed when we look at personal finance in a complex environment with strong pressure on profitability. Personal finance in particular where we focus a geographical footprint on core Eurozone countries, where the portfolio structure tilted towards more exposures to the automotive and mobility sectors, having a better risk profile, given they asset backed. Our objective for '25 plus €10 billion of additional outstanding and ongoing improvement in cost of risk towards 120 basis points over outstanding and leading to an improvement of the return on notional equity. On leasing, priority to new partnerships and financing to energy transition with a focus on productivity gains to improve the cost income ratio by more than 2 points in '25. As a result, we have raised our targets 2025 for CPBS with an average revenue growth of around 5.5% including a positive impact on the interest rates of around €1.6 billion by 2025, benefiting mainly the Commercial and Personal Banking in the Eurozone. As such, and benefiting in addition from a strong ability to develop fees, Commercial and Personal Banking should deliver an average revenue growth of 6%. If we turn to the specialized businesses, their ongoing growth at Arval and Leasing Solutions will be partially offset by the transformation and adaptation at personal finance. Combined, it should nonetheless deliver a revenue growth with a CAGR at minimum of 4.5% for the specialized businesses. Last but not least, if I can say, thanks to improved efficiency gains. The targeted jaws effect for CPBS is anticipated at around 3 points on average over the period embedded recurring savings above €1.2 billion. So we've done two out of three. So stay with me and let's move to Investment and Protection Services, Slide 43 to 46. IPS witnessed an overall positive momentum in business activity, delivering profit growth in a lackluster environment. In difficult market conditions, net asset inflows were good at €32 billion, sustained by good inflows at Wealth Management supported by our commercial and peripheral banking in Europe and particularly in France, but also in Germany and Asia. Post assets inflow also in asset management, driven by medium and long-term vehicles and the rebound in the money market funds towards the end of the year '22. So these are volumes. If we now focus on the P&L, IPS revenues stood at €6.7 billion, up 3%. And this is the result of a good performance of the whole wealth and asset management plus 6.8% with a solid increase in wealth management revenues driven by the growth in net interest income as well as the growth contribution at personal investments and the progression of real estate. Impacted by an unfavorable market environment, insurance revenues showed resilience with a solid momentum in savings and protection activities as well as the continued development of new product offering, offset by decreasing financial results. So revenues decreased by 1.9% on a year basis. So these are the revenues at IPS and if you look at the expenses, they clocked in at €4.4 billion, up 3.5% year-on-year, driven by the business developments and targeted initiatives. If we look at constant scope and exchange rate, the jaws effect was close to zero. And so IPS pretax income came to €2.6 billion, up 4.8% compared to a year ago, a good performance given the context. So this is the results for the third division and now let's look at the plans Slides 47 and 48. So IPS aimed at becoming a reference European player for protection, sustainable savings and investments as well as a key European player in real estate services. To achieve this there are three main objectives. First, accelerating in financial savings; second, capturing growth in private assets; and third, strengthening our leadership in CSR. And this using three key levers. First, BNP Paribas integrated and diversified model as you know, and as you've seen all the benefits of; second, digitalization as well as new ways of working; and third, operational efficiency. And we can leverage our strong and diversified distribution model, a close proximity with CPBS combined with a strong ability to develop efficient partnerships and JVs outside of the group. If with this, we turn to Slide 48, you can see that '22 is a tribute to the outperformance of our Wealth and Asset Management business and strong ability to attract assets. We will build on this commercial outperformance and anticipate a sustained average growth rate in assets under management with a CAGR of more than 7% over the period '22 to '25. We will capitalize on this good momentum generated by the plans launch with continued extensions and product offering for instance in private assets of production - protection products and strong developments of partnerships. Last but not least, IPS is an area where we have growth opportunities to seize for instance with targeted acquisitions and expansion in specific capabilities. This reconfirm the growth trajectory of IPS over 2025 with a CAGR in gross operating income of 6% - 4% for insurance and 9% for wealth and asset management in the period '21 to '25. So this basically synthesize the businesses. And I'll hand it back to Jean-Laurent for the conclusion.
Jean-Laurent Bonnafé: Thank you, Lars. So BNP Paribas '22 results confirm the key ingredients of a successful execution of our strategic plan Growth, Technology and Sustainability '25. We benefit from a strong growth with a strong mobilization and commitment of the teams. We delivered a solid performance in '22, disciplined and well balanced between businesses. We'll benefit going forward from a unique positioning and an additional growth potential of more than €5 billion. As such, we have revised upward our target in net income from a CAGR over 7% to CAGR of over 9%. We will execute €5 billion of share buybacks in '23 in each year and an amount equivalent to 10% of our distributable net income, which should lead to an average increase in EPS over 12%. These growth will be strong and steady. To do so, we will increase the '23 distributable result up to €1 billion to provide to shareholders a clear and coherent growth trajectory in line with our potentials for the period. Finally, we will continue to confirm - to affirm our leadership in financing the energy transition, as such we're entering in a new phase of acceleration in financing the production of low carbon energies and reducing the financing for fossil fuel. On Slide 51 and 52, you will find in brief, the main objectives under the plan, which have been substantially improved. I thank you very much for your attention and we will now be pleased to take your questions.
Operator: [Operator Instructions] The first question comes from Flora Bocahut of Jefferies.
Flora Bocahut: Yes, good afternoon. The first question I wanted to ask you, goes back to the Slide 6 please, and more specifically on the building block called organic growth. Just if you could just explain to us in terms of the net income '23 versus '22, where you expect from what P&L line and what business do you expect that organic growth to be driven? And then on the Slide 5 for the second question please, first of all just checking that I understand correctly that you now expect revenues will be €5 billion higher than what you initially planned in the GTS plan? And then specifically on those €3 billion additional revenues you discussed in the slide on the back of the redeployment of the capital from the BancWest sale, how quickly and in what division, can we expect to see those please? Thank you.
Jean-Laurent Bonnafé: So on Page 5, it's written, so on one side €2 billion coming from the new rate scenario and on the other hand €3 billion coming from the reinvestment of the proceeds from Bank of the West, so €3 billion plus €2 billion, equals €5 billion. So this is basically the momentum. And then looking division by division as Lars mentioned it, you have the detailed impact of this pickup in the different pages that I presented within CIB and CPBS and IFRS. IFRS is - it's not linked to the top line, it's linked to the growth of the - gross income after - after cost. So I hope, I answered correctly your question about the €5 billion?
Operator: Flora, if you would have a clarifying question, go for it.
Flora Bocahut: No, look, I mean that's clear. I think some of the target you presented are the ex the redeployment, so just wanted to check, where exactly you see the bulk of the revenue growth, including the redeployment, but that's fine. And then just on the organic growth in the question on the Slide 6, but this one the net income growth '23 versus '22, basically is that revenue driven, is that cost provision that was the idea here?
Lars Machenil: Yes, I'll take that question. So, yes Slide 6, it's not a riddle, but there are indeed a lot of information in it. So if you look at it, we basically start from the bottom line in '22, so the €10.2 billion. Then we basically say, listen, Bank of the West has gone, so this is a reduction and that is more than compensated by the fact that we consider that the €1 billion, which is the last contribution to the Single Resolution Fund is excluded from this distributable income. So then there is the remaining growth. And as you've seen in the overall targets, the growth we aim to continue on the levers that we started. So 2022 is a tribute to the model working to the top line basically evolving and so that is basically what we anticipate to do. Of course, the cost will be very much contained. You've seen our jaws, you know, our focus on jaws and you've seen the cost of risk. The cost of risk, we really are careful in the clients we attract and that's why we are comfortable to guide a cost of risk well below 40 basis points. By the way of what we know in customers, but also given the Stage 1 and Stage 2 provisioning that we have in the balance sheet. So that's basically how we see that evolution. And if you do the math, the €10.2 billion and all of that, you can clearly see that the distributable income will end up well above €11 billion.
Flora Bocahut: Thank you.
Operator: The next question is from Delphine Lee of JPMorgan.
Delphine Lee: Yes, good afternoon and thanks for taking my questions. First of all, I just wanted to check on the capital impacts that there is nothing more that you need to take in terms of regulatory impacts on ECB inspections or reuse or anything like that, just basically IFRS17 at 10 basis points you flagged? And my second question is really on the other way growth, you talked about the additional €3 billion that you're getting from the investment of BancWest proceeds, but what does that mean in terms of underlying other rate growth getting that big relief in terms of capital from the proceeds and RWAs, but there has been an acceleration clearly of the organic RWA growth. So just wondering what we should expect in coming years? Thank you.
Lars Machenil: Delphine, so on your two questions. So on the capital impact, there's basically nothing right. We explained, well, a year ago in '22, there were a series of new rules that were impacting and so on and so forth that we announced upfront and you had the impact. On this one, the only thing that we see in doings is the arrival of IFRS17 as of - that we will clarify in May, and that is what we expect on 10 basis points, and that's basically the only thing that we expect in capital to be taken away from the common equity Tier 1. That's out. And when it comes to your question RWA redeployment, so one of the things when we look at the further redeployment of RWAs and particularly the redeployment of the proceeds of Bank of the West, I jokingly, but not jokingly say, we're not going to buy a bank, because we're not going to buy a bank, but in particularly, we want to grow into activities, in activities that are in particularly also fee and commission generating. So it could be insurance, it could be asset management, it could be private banking, all of these kinds of elements. That is why we feel comfortable to guide on a higher growth, while increasing the ROTE, because the ROTE goes from 11% to 12% and this is basically reflecting the lower average consumption of RWAs. That will be my answers, Delphine.
Operator: The next question is from Amit Goel of Barclays.
Amit Goel: Hi, thank you. So I have two questions. The first is to do with the redeployment of the capital. And I just wanted to get a sense of, to what extent has some of that €7.6 billion already be redeployed into the business? And is there a sense of the kind of revenue run rate that's already being achieved at the end of 2022 from that? I mean and related to that, whether you're thinking that beyond 2025, you can realize more than the €3 billion? And the second question is just to do with the distribution of that capital into the business. Just thinking on the CIB side, how do you think about it in terms of whether or not that could push you above roughly a third of capital within the CIB, whether that's a constrain or not? Thank you.
Jean-Laurent Bonnafé: Sure. If you look at the equity to be reinvested show the different divisions, so starting with 110 bps roughly, basically in 2022 we have already invested up to 20 bps. So let's assume that every year, we will redeploy 20 bps, or four years, this is 80 bps, close to 20 bps for bolt-ons and then the remaining 10 bps for, I would say, new business model kind of Kantox type of investment. So this is in a nutshell the roadmap. All those decision, reinvestment, bolt-ons are based upon the very strict financial discipline and to some extent only I would say top - top business lines, the best position within the BNP Paribas Group can benefit from that. So we can even - I would bring those businesses at an even better level. So this is the current situation. Looking at CIB roughly speaking, one short of the equities kind of maximum of the amount we could allocate to the CIB. There is no, I would say intention or would say purpose to challenge this balance. We like the diversification of the model and that's it. And looking at bolt-on clearly, it will come more for I would say specialized businesses, could be car fleet leasing, personal finance, insurance payments. So typically non-CIB businesses.
Lars Machenil: Does those answer your questions?
Amit Goel: Yes. Thank you. And just [technical difficulty] so some of that investment is going to be in '24-'25, are you thinking that the €3 billion can grow from there as well as some of those later investments come through?
Jean-Laurent Bonnafé: If you - of course, we have to really prove this equity in the current systematic and progressive way. As an assumption, we've picked up an average cost income of 60%, but knowing that we're investing in businesses in which we have already, I would say a cost based, most of those investments they are run at marginal cost. So in reality, it explained why progressively, even if it - I would say spill over the period, you get average €3 billion, top line cost income 60% and then return on tangible equity 12%. So there is no hurry. Well, we have a very strong ability to redeploy equity just because we have a number of very competitive and very well positioned business models and this is really the way we're going to look at the situation and you never know. But there is a very high probability that we were going to be a successful doing so and we're not interested at any kind of major transaction, banking aggregation, domestic bank whatsoever, just about growing service model that is bringing value-added products and services to the franchise.
Amit Goel: Thank you.
Operator: The next question is from Jon Peace of Credit Suisse.
Jon Peace: Yes, thank you. I'm sorry, just one more on the €3 billion of revenues. If you don't find those annual opportunities or the bolt-on deals, would you consider doing a further buyback with the proceeds or would you carry forward the excess capital into 2026 and carry on looking? And then a second question, please. I think Jean-Laurent, you said that the €2 billion of additional revenues from higher interest rates was from rate hikes that have happened in 2022. So just to confirm that would be consistent with a 2% through terminal deposit rates by the ECB because I guess the market forward path is for rates to go up and then come down again? Thank you.
Lars Machenil: John, I'll take your first question on the €3 billion. So the €3 billion, the idea that it - actually, it would not be bolt-on. So what we assume is that 80% can be redeployed within the business, so we can accelerate servicing our customers, that's - 80% we will do. So there is 10% of that, that we have basically earmarked for bolt-ons. So while if it wouldn't be possible to have that 10% done in three years, then we'll see what we'll do. But it looks like the way we have been already doing, if you look at 2022 with what we've been able to do with Kantox, with Floa. So we feel quite confident. But the amount of bolt-on is relatively small and so we feel comfortable with redeploying it into accelerated organic growth. On the net interest margin, yes, so what we basically have that evolution that we see ramping up to €2 billion goes with the 2% that you mentioned.
Jon Peace: Great. Thank you.
Operator: The next question is from Tarik El Mejjad of Bank of America.
Tarik El Mejjad: Hi, good afternoon. Just two questions from me please. First of all on the volume growth, could you please give us a bit of overview of where do you see volume growth in this year and next in the retail and the corporates, because clearly we are seeing better than expected environment and assumptions built in beginning of - that of last year was - we're much more conservative. So where do you see the retail or mortgages growth and then on the corporate - the corporate side? And secondly, I will come back on the capital deployment. I mean, I'm surprised, because when you announced the deal, you were very clear that one-third will go for organic, one-third for technology and the rest is bolt-on and then the share of the bolt-on has really shrunk a lot and your profitability is improving. So you organically generate excess capital because it distributes only 60% and you're already proforma compliance Basel IV and so on. So where this significant growth is coming from - where you have to allocate this extra €7 billion? And would you consider for example, buying back your share from the Belgium government, if that would be earning accretive as well? Thank you.
Lars Machenil: Tarik, let me take those two questions on the - on your volume growth, as you know, we are basically a bank focused on corporate institutions, and so that's where the growth comes from. We are relatively small player when it comes to retail. So for us the focus is accompanying the businesses that we see on the other aspect. And of course if this one is going faster, we will be very pleased to accompany them. And then on the redeployment, the redeployment what we said is, we basically said, there are three drivers. So there is the organic, there is the technology and there is that. And as we mentioned, as you know me, we are basically frugal, and we observed that when there is this opportunity to do it organically, that is the one that is bolted on immediately, that is the one that we know well, that is the one that we serve well, and that's the one that hits the bottom line immediately. So even if there are three levers, I think you can really see that the organic one is the preferred one.
Tarik El Mejjad: Sorry Lars, my question on volume was more kind of the volume you see now organically on the retail. How is that recovering given the uncertainty in the market in the retail and the corporates? What do you see on the ground basically?
Lars Machenil: Well, listen, we don't give an update in the middle of the quarter. So if you look what you rightly so in the fourth quarter, you saw that on the corporate side, the volumes were still going up very well. If you look at the retail side and particularly if you look at the mortgages, it was somewhat slowing down. So that's basically where we stand.
Tarik El Mejjad: And on the Belgium stake, would you consider that?
Lars Machenil: Listen, you have to ask them. You have to ask them?
Tarik El Mejjad: It's Tarik, by the way.
Lars Machenil: Tarik, sorry, sorry, sorry, sorry.
Tarik El Mejjad: Okay. Yes. Thank you.
Operator: The next question is from Stefan Stalmann of Autonomous Research.
Stefan Stalmann: Yes, good afternoon. Thank you very much for taking my questions. I wanted to come back to the reinvestment point, please. If I take your €7.6 billion reinvestment plan and I gross it up at a capital ratio of let's say 13%, we're getting to about €60 billion incremental risk weighted assets that this reinvestment will generate and €3 billion incremental revenue is just 5% revenue margin on that, which I think is quite low, given your current business mix. I mean you're making well north of 10% in your asset gathering businesses and you said that you want to - you want to focus on fee-generating activities in this reinvestment effort. Could you maybe add a little bit of color on how the revenue number and the implied risk weighted asset budget hang together. And is it may be possible that you're guiding very carefully on the revenue benefit of this reinvestment? And the second question goes back to the personal finance division, where you suggested that you are thinking about the retrenchment towards the Eurozone. Could you give us a rough sense of how much of your loan book at the moment is actually outside of the Eurozone, please? Thank you very much.
Jean-Laurent Bonnafé: So on the second part, I can tell you the following. We're not retrenching. We're focusing the business model, let's say around the Eurozone including the Nordics and UK for a number of good reasons. When you are outside the Eurozone, we said the funding of those businesses is slightly more competitive, if you're not a domestic bank, which is the case for us in Brazil, South Africa, Mexico, countries in Central and Eastern Europe. So there is a huge, I would say incentives to concentrate in that geography in which you benefit from a very strong liquid abundant access to the local currency to typically for us, which is the Eurozone, especially when rates are going up. This is for a second, it happened that in a number of those non-European countries, western countries to some extent, we have - let's say, not really the critical mass. And if we want to upgrade long-term platform personal finance, bringing in new services, new technology, Buy Now Pay Later type of approach. If we need to have, we want to clock very performed competitive partnership for example in the automotive industry, aligning car fleet leasing, consumer finance insurance, we have to be in Europe. So it's - it's a way to manage the business model slightly differently in an area where we can access the local currency in a very efficient way. And where we can't have complementarities with other businesses like our fleet and insurance, all this is around the mobility concept. And at the end of the day, would have a better, stronger and more efficient personal finance platform, which probably less out standings in volumes, but a better return and above all and newer lower cost of risk. So this is really the story for personal finance. Lars, from the first part?
Lars Machenil: Yes, maybe as one complement. I don't have the fraction handy of volumes, but we'll come back to you. It's - 15% is basically - then the other thing, which is important to know is that the pre-tax income of this is basically shuttling around zero. So it is not something - once it's been divested that it would impact that. And the second thing is on your question on our guidance, Stefan, you do know us for a while, right. And so, yes, we tend to be a bit conservative on what we guide. And talking about conservative, I hear that there are some people saying that also not only we are conservative, but we can sometimes be a bit [gridlish] and particularly when we talk about Slide 6, and so to avoid any misunderstanding on 6, so basically Slide 6, starts from the results published in 2020, the €10.2 billion, basically says Bank of the West will be gone. But that will be more than compensated by the organic growth and then there will be €1 billion, that will be added to it as the base for the distributable income, that's why that base will be - of distributable income will be well above €11 billion. So I hope with this I answered your question on your conservative question.
Stefan Stalmann: Thank you very much, Lars. Thanks.
Operator: The next question is from Matthew Clark of Mediobanca.
Matthew Clark: Good afternoon. So a couple of boring numbers questions first and then a longer question on the personal finance division. So on the numbers, could you give some guidance for the AT1 cost this year, given you've issued quite a lot recently? Should we expect that to go up meaningfully from the kind of €500 million, €600 million of recent years? Second question is on the Single Resolution Fund cost for 2023, am I right that you're guiding that to come down to €1 billion from €1.3 billion last year, is that a like-for-like comparison? And then on the personal finance division, you mentioned in the slides, increased margin pressure, but it really seem to accelerate a lot in the fourth quarter versus the kind of more gradual pressure of recent quarters. Was there anything in particular in the fourth quarter that meant you saw such a drop is TLTRO related or something? Any commentary there on why it came down quite so much? And then -
Lars Machenil: And Matthew, Matthew, could you - could you rephrase that question. We're not fully sure we understood.
Matthew Clark: Okay. Just the pace of the decline in revenues, fourth quarter compared to the third quarter in the personal finance division really accelerated. So I'm just wondering why there was such an acceleration and it seemed to be margin pressure related in the fourth quarter compared to the trend before them?
Lars Machenil: Matthew, if I take your questions. So on the AT1 - the AT1, what we - as a reminder, we were basically issuing around €2.5 billion a year and what we're doing now is basically stepping that up to €4 billion, but that will be basically compensated by stepping down other instruments. Why is that? Because in total capital, we're very happy campers, but we want to step up the AT1 because the AT1 is used in the leverage ratio. The leverage ratio is the leverage exposure that is considered towards the AT1. So, that is basically what we do. And so, yes, we stepped it up a bit, but again we lowered it on others. So it should not have a material impact in our overall funding cost. Then when with respect to your drop in the Single Resolution Fund contribution, I don't know if I understood you well, but let me tell you, so we basically contribute BNP Paribas €1.3 billion. This is in 2023, this is the last year. So this is a fund that is regulated by law and that should be completely constructed at the end of this year, which it should be and then basically that €1.3 billion would fall away. We anticipate that there will be something remaining what is the fact that fund will continue its life and maybe in some other countries, it will continue its life. So it's basically we anticipate in 2024, a drop of €1 billion.
Matthew Clark: Okay. That's clear. Thank you.
Lars Machenil: Okay. And then when it comes to your question on personal finance in the fourth quarter, what you see is - as you mentioned, the margin pressure is picking up in that business, and that's basically what you see as the main impact in the fourth quarter.
Matthew Clark: Can you elaborate a bit more on that. I mean, why is that coming in the fourth quarter harder, do you expect it to continue to decline, is it the trough, I mean?
Lars Machenil: No, the thing is, what you basically see is you have the average life of the production that you do. So you basically have a bulk, which is being refinanced and that is what you see. And it is one of the things why we focus even more our personal finances. So we don't want to have it fully dependent on the interest income, that is why we are ramping down or ending our activities in the countries that we just mentioned. And we want to focus on the financing related to the asset backed, which are also generating a set of fees around it. So that is the whole part of the transformation that we are undertaking with personal finance.
Matthew Clark: Okay. Thank you.
Operator: The next question is from Pierre Chedeville of CIC.
Pierre Chedeville: Yes, good afternoon. I have a question regarding, what you said on bolt-on acquisition. Of course, we have clearly understand what you're focused on this kind of strategy, but my question is more general. When you think about the fact that the monetary landscape is changing, plus the accelerated progress of industrialization and the stabilization of regulation, how do you see the evolution of the European banking landscape? And if you as BNP, CEO, does not like big operation, do you think that there is something here, which is changing and that some of your competitors may think differently and thinking that it's time now for bigger operation in remaining fraction European banking landscape? That's my first question. And my second question is regarding corporate center. Could you give us what we have to wait for in 2023? Do we - do we have compensation of restructuring cost with capital gains, for instance like in 2022, not exactly like in 2022, but we were supposed to have that. Could you give us more color on that? Thank you.
Jean-Laurent Bonnafé: So on external growth, our belief at least from for being BNP Paribas is that the future is on, let's say organic consolidation with bolt-ons, meaning, building a global integrated platform where you deliver integrated I would say setup, high value services. So this is our vision and we don't believe that is the regulation in Europe or a number of other factors converging so rapidly that we can envisage structure up something that could be, what's going on in the U.S., for example, consolidation in between regional banks from different states who are not there, may be Europe would be there in 10, 20 to 25 years. We don't know, but we see it is not this. So again we stick to our vision that is creating a pan-European platform is value-added services, integrated comprehensive that can address, let's say, value-added franchises. So this is the strategy. It's possible that some competitors are not looking at the situation that way. One reason being the fact that maybe they do not benefit from this situation very highly diversified business model. So, probably this is the main difference. And again, there is still room for, let's say, local consolidation in certain domestic market, cross border. We don't see it, but we do not say that one is going to look at that situation, that this is not BNP Paribas. Lars?
Pierre Chedeville: Thank you.
Lars Machenil: Yes, Pierre. On the corporate center, so indeed over the plan our ambition was to have the restructuring and adaptation, which gravitate around €400 million a year to have then compensated by capital gains and you saw it in 21 and we basically have that in the wings for this year and next year.
Pierre Chedeville: Okay. Thank you for refreshing.
Operator: The next question is from Mate Nemes of UBS.
Mate Nemes: Yes, good afternoon and thank you very much. Two questions please. The first one is on the CIB, you mentioned that you seed one-third as a maximum capital allocation to division. Just wondering if you expect perhaps somewhat higher allocation within CIB towards global banking and perhaps global market capped at current levels or there is no specific dynamics in mind or implying? The second question is just a clarification regarding the distributable income and the planned capital distribution. Do I understand correctly that only 2023, you will use adjusted distributable income in 2024 will revert back to stated? Thank you.
Lars Machenil: So when it comes to the one-third, one-third, one-third, let's now - let's not overdo it, right. We basically have these kind of levers at the group level and we typically grow them all three of them, and so that's basically it. And within CIB, it's a bit the same thing. At the beginning of the year, our global banking was a that slower because the markets where it was and then it picked up again. So it's not a dogma, it basically what we see and the way we grow and the way the demand in the business growth, they typically move on at the same - at the same speed. When it comes to the distributable income, listen the way - why we did this 2023, we consider it an extraordinary year, a pivotal year. Extraordinary in the sense that it will be the year of Bank of the West is gone, and it will not yet be fully redeployed. And at the same time, it's the last year of the contribution to the Single Resolution Fund. And so that's why we basically said, we - as this is extraordinary, we basically take that away. And so if you then look at the growth going into 2024, there will be the further growth, which will be there. There will be the redeployment of the first part of what we're seeing with respect to the capital redistribution of Bank of the West, which will be kicking in and of course our platforms will continue to grow as well, and so that is why, when we basically guided for the CAGR of the bottom line, we really said, it is a CAGR of 9%, and it's a 9% that we should get every year. And that's actually why we had those extraordinary effects in 2023 because otherwise you would have had a hockey stick. You had a bit of a slower growth in '23 and then a hockey stick in '24. And so what we've basically done is in '23, we ironed out to have a coherent growth, bottom line of 9%, EPS of 12%. And so that's what we do. Of course, so the CAGR will be growing 9% a year. On the EPS, which has further boosted by the share buyback, the EPS will be in particularly boosted this year because over and on top of the recurring around €1 billion share buyback of the earnings, there will be the €4 billion share buyback related to Bank of the West. So that's basically the growth rates.
Mate Nemes: Very clear. Thank you.
Operator: The next question is from Anke Reingen of RBC.
Anke Reingen: Yes. Thank you very much for taking my questions. Two follow-up questions. On your - previously you had a 2024 ROCE target of 11% and let's assume that could be now about 11% considering the 2025 upgrade. And then on CIB, the cost growth in'22 over '21 at 14%, obviously, you are not FX adjusted is quite high. And do you think like if revenues come down '21 versus a very, very strong 2022, you will still be able to deliver positive jaws, so that investments will be a headwind? Thank you very much.
Jean-Laurent Bonnafé: So, yes, on your first point. Yes, it's highly probable that the return on tangible equity in '24 might be higher than the one initially anticipated. So this is - I would say for sure. CIB, especially looking at global market, there is a certain seasonality let's say cyclicality. So looking at the diversification of that platform, we know that depending on the different situation from financial markets, we can readjust, relocate. So tangentially, yes, we believe that based on the current platform that has been completed - complete in those researchers, we can manage to assist kind of regular growth and that's it. This is not retail. It's a different type of business, of course, but tangentially mid and long-term, we believe this is now a quiet, very resilient platform.
Anke Reingen: Thank you.
Operator: The next question is from Chris Hallam of Goldman Sachs.
Chris Hallam: Yes, afternoon, everybody. So, just another one on the dividend. And I think this is probably a yes/no answer. So the 2023 evolution is clear, essentially pulling forward that SRF benefits that move the dividend profile. But just to clarify, for 2024, the plan I think from your comments is to maintain that 50% payout ratio and deliver growth again in '24, in line with or above the 9% embedded in the plan? So that's the first question on the dividend. And then secondly, on Slide 79, it looks like the spike in cost of risk in personal finance in the quarter was partly due to Brazil, and I just wondered if there any one-offs in there that we should be aware of? Should we be expecting that cost of risk number for personal finance overall to settle back at around 130 bps in 2023 and beyond, assuming sort of constant perimeter? Thank you.
Lars Machenil: Chris, so yes. On the dividend, listen, let's be clear. So the dividend, there is distributable income and that is growing basically with 9%. This is what we said in particularly 2023, we iron that out to have 9% kind of every year is that's what you wish. And then we basically said on that bottom line that's basically 55.0% that will be paid in cash and 10% that will serve for a share buyback. So that is how you should read 2024. And then when it comes to the personal finance, as we mentioned, personal finance, there are some - in some zones, where we are selling, there are some zones that we are basically ramping down and in that ramping down, yes, there is - in Latin America, there is a one-off kind of effect that you - that you spotted correctly. And so our overall trend, with all the things that we are changing, the way we are focusing personal finance on the asset-backed kind of services, it is clear that we are tapering that off towards over the cycle of 120 basis points.
Chris Hallam: Okay. Thanks a lot.
Operator: Gentlemen, at this time there are no more questions registered. May I turn it over to you for any closing remarks.
Jean-Laurent Bonnafé: Thank you again for your attention. And again, you can count on us very much. We're very much - I'd say committed to delivering that plan and it's to some extent a great cycle for BNP Paribas. Thank you so much. Take care. Stay safe.
Operator: Ladies and gentlemen, this concludes the call of BNP Paribas 2022 full year results. Thank you for participating. You may now disconnect.